Operator: Ladies and gentlemen, good day, and welcome to AIG's First Quarter 2020 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Sabra Purtill, Head of Investor Relations. Please go ahead, ma'am.
Sabra Purtill: Thank you. Good morning and thank you all for joining us today. Our call today will cover AIG's first quarter 2020 financial results announced yesterday afternoon. The news release, financial results presentation and financial supplement were posted on our website at www.aig.com, and the 10-Q will be filed later today. Our speakers today are Brian Duperreault, CEO; Peter Zaffino; President and COO of AIG and CEO of General Insurance; Kevin Hogan, CEO, Life and Retirement; and Mark Lyons, Chief Financial Officer. We will have time for Q&A after their remarks. Today's call may contain forward-looking statements relating to company performance, strategic priorities, business mix and market conditions, including the effects of COVID-19 on AIG. These statements are not guarantees of future performance or events and are based on management's current expectations. Actual performance and events may differ materially. Factors that could cause results to differ include those described in our 2019 Annual Report on Form 10-K and other recent filings made with the SEC, inclusive of the effects of COVID-19 on AIG, which cannot be fully determined at this time. AIG is not under any obligation and expressly disclaims any obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise. Additionally, some remarks will refer to non-GAAP financial measures. The reconciliation of such measures to the most comparable GAAP figures is provided in our news release and other financial results material, all of which are available on our website. I'll now turn the call over to Brian.
Brian Duperreault: Good morning, everyone. It's been an extraordinary few months since we last spoke. Before we start, I want to say that I hope you and your families are healthy, and that you've been able to adjust to the new normal that COVID-19 is creating for all of us. This crisis has been heartbreaking to witness as it unfolds across the globe. It's a tough time for everyone and the uncertainty about how long it will last and what life will be like afterwards makes this time even harder. I've witnessed a lot in my 40-plus year career in the insurance industry. But this health and humanitarian crisis, which quickly became a threat to the world economy, is like nothing any of us has experienced. We believe COVID-19 will be the single largest CAT loss the industry has ever seen and will continue to have significant global economic ramifications for the foreseeable future.
Peter Zaffino: Thank you, Brian. Good morning, everyone, and thank you for joining us. Today, I plan to review the following topics: a brief overview of the potential near and longer term impact of COVID-19 on the insurance and reinsurance markets generally, how we analyze the impact of COVID-19 on GI through March 31st, first quarter results for General Insurance, excluding COVID-19, including Validus Re, our recently announced launch of Syndicate 2019 and AIG 200 and the progress that we've made since our last earnings call. As Brian said, the near and long-term impact of COVID-19 on the global economy and insurance and reinsurance industries remains unclear. In contrast to other catastrophes like wildfires, hurricanes and earthquakes, this event is not confined to any specific geographic region, and it has already impacted over 200 countries and territories. In addition, this duration is not limited as is typically the case with traditional CATs. While the insurance industry manages risk of all kinds, it's fair to say that the profound impact and global nature of COVID-19 is something we have never encountered. There's no playbook. And as a result, we are called upon to make thoughtful and prudent decisions in a climate of unprecedented uncertainty. Before COVID, the largest catastrophes on record were Hurricane Katrina with $65 billion losses, then the Tohoku earthquake with $35 billion in loss, Hurricane Irma with $30 billion losses, and Superstorm Sandy also with approximately $30 billion in losses. With respect to COVID-19, we're starting to see early industry estimates, but they have significant ranges. While it's too early to gauge the ultimate size of the loss, we believe COVID-19 will result in the largest individual CAT loss, the insurance industry has ever seen. Going forward, COVID-related losses will impact all aspects of underwriting insurance from absolute limits available, limits deployed to certain lines of business, terms and conditions, co-insurance and structure of coverage just to name a few. With respect to the reinsurance main, unlike traditional name parallel catastrophes, COVID was not modeled. And, therefore, it will be a headwind for future capacity. We believe the retro market will contract. And in the ILS market, there will be trapped capital, which will lock up collateral, therefore, restricting capacity on a go-forward basis, and we're already seeing this.
Kevin Hogan: Thank you, Peter, and good morning, everyone. Today, I will discuss overall Life and Retirement results for the first quarter and our current outlook, changes in our operating environment due to COVID-19 and then briefly comments on the results for each of our businesses. Life and Retirement recorded adjusted pre-tax income of $574 million for the quarter and delivered adjusted return on attributed common equity at 8.4%. Adjusted pre-tax income decreased by $350 million year-over-year, primarily due to significant market stress in March compared with the strong market recovery we saw in the first quarter of 2019. The main driver of the decrease was lower equity market returns, which primarily resulted in higher variable annuity reserves of $161 million and higher deferred acquisition cost amortization back of $138 million. Also, widening credit spreads generated lower returns from fair value option bonds of $116 million and the low interest rate environment resulted in continued spread compression across our individual and group retirement product lines. Lastly, I am pleased to report that our hedge program performed as expected in response to the market stress experienced in March, generating gains exceeding the movements in our economic view of the liability and related cash collateral. Recognizing the limits of sensitivity, especially in the context of first quarter's market volatility, our sensitivities provided on our last earnings call generally held up. Based on the environment we see today, we continue to expect base spread compression across the whole portfolio of approximately eight to 16 basis points annually. However, wider risk-adjusted credit spreads should generate opportunities to attract new business as profitable margins and the reinvestment of assets slowing off the portfolio should benefit from higher credit spreads. We have updated our estimates of market sensitivities to reflect our balance sheet as of the end of the first quarter. We would expect a plus or minus 1% change in equity market returns to respectively increase or decrease adjusted pretax income by approximately $25 million to $35 million annually and a plus or minus 10 basis point movement in 10-year treasury rates to respectively increase or decrease earnings by approximately $5 million to $15 million annually. These sensitivities assume the immediate impact of market movements on reserves, fact and fair value option securities as well as investment income and other items. It is important to note that these market sensitivity ranges are not exact nor linear since our earnings are also impacted by the timing and degree of movements as well as other factors. Market conditions began to improve in April, but one can expect that should conditions continue to improve, there may be immediate benefits in reserves back for investments in the second quarter although these benefits are likely to be offset slightly by lower private equity returns that are reported on a one quarter lag. Despite the challenging environment COVID-19 created, our balance sheet is strong and we currently estimate our fleet risk-based capital ratio for the first quarter to be between 405% and 415%, including both the impacts of variable annuity reserve and capital reform as well as our hedging program. Our risk-based capital ratio will be sensitive to the impacts from COVID-19 as they flow through our balance sheet throughout the year. Market stress in the first quarter due to COVID-19, while severe in nature did not reach our modeled stress testing scenarios. Although we expect lower levels of overall industry sales for the foreseeable future due to impacts from COVID-19, our leadership position continues to provide us with a unique competitive advantage. We have a broad position across variable index and fixed annuities, term and permanent life insurance, not-for-profit retirement plan markets and institutional markets. We are not dependent on any one product type or distribution channel, which allows us to maintain our long standing disciplined approach with respect to product pricing and future development regardless of the economic environment. Over many years, we have proven our ability to redirect our marketing efforts from one product type to another as market needs and pricing conditions change. We also have a large and diverse in-force portfolio that does not have the significant risks associated with pre-2010 living benefits for long-term care. Our very small block of remaining long-term care business has been reinsured to quarter two. Our strong capital levels and broad market presence position us well to deploy capital as potential attractive opportunities arise in this widening spread environment. Now, I'd like to touch on our operations over the last few months. As Peter noted, we transitioned quickly to a remote working model, with the support of our regulators we're meeting, we successfully adapted our e-signature policies, procedures and controls to support the needs of our plant sponsors, distribution partner firms and individual customers. Also, investments we have made to enhance our digital capabilities have served us well as many more customers are taking advantage of our enhanced self service tools. We've also been very responsive in adopting changes to address the financial hardship faced by some of our customers, such as extending the grace period for premium payments and meeting the requirement of the Cares Act. Our sales and relationship management professionals quickly shifted from face-to-face to virtual meetings and have conducted thousands of such meetings and educational webinars with our producers and customers. Turning to our first quarter financial results. As mentioned, the primary drivers of the decline in Life and Retirement portal adjusted pre-tax income with short-term impacts to our individual and group retirement businesses from significant market movements. As to the top line results are individual retirement, premiums and deposits decreased primarily due to significantly lower fixed annuities fail, as we maintained our pricing discipline as Treasury rates dropped throughout the quarter with credit spreads only beginning to widen late in the period. Our index annuity sales remain strong, but we again grew variable annuity sales. Lower sales of fixed annuities resulted in negative net flows for total individual annuities. For group retirement, premiums and deposits decreased due to lower new group acquisitions, as well as reduced individual product sales driven by the uncertain environment. Net flows improved year-over-year, primarily due to lower group surrenders. In this period of uncertainty, we expect fewer plan sponsors to change providers, which may reduce new group acquisitions, but would support plan retention. For our Life Insurance business, total premiums and deposits increased due to higher international premiums. Our mortality trends continued to be favorable to overall pricing assumptions and the first quarter included a modest IBNR reserve strengthening to reflect the fluidity of COVID-19. Although we may experience some acceleration, we are not expecting large incremental impacts to mortality rates and expect any incremental impacts to be manageable in the context of our overall balance sheet. For institutional markets, we have continued to grow our asset base and earnings, and this business continues to be well-positioned. We remain focused on new opportunities and have the capacity to participate as activity arises in the pension risk transfer and other institutional businesses. To close, despite these challenging times, we remain available to serve our customers, plan sponsors and distribution partners. We are committed to further mobilizing our broad product expertise and distribution footprint to serve our stakeholders in new ways as their needs evolve. We will continue to deploy capital to the most attractive opportunities and focus on meeting ever-growing needs for protection, retirement savings and lifetime income solutions. Now, I will turn it over to Mark.
Mark Lyons: Thank you, Kevin. Before providing summary comments about the first quarter, I'd like to give COVID-19 perspective from where I sit. First, this health crisis, which quickly evolves into an associated financial crisis, is unprecedented in scope, uncertainty and length and depth of economic impact. Additionally, this ongoing event has simultaneously impacted both sides of the balance sheet, thereby nullifying most underlying disruptions that investment assets and insurance liabilities are marginally correlated. As a result, it's extremely difficult to forecast one quarter in advance let alone a full year longer. However, as Brian also noted, I want to reiterate that AIG was strongly financially positioned entering the crisis, both from a parent and subsidiary liquidity and capital perspective and is well positioned today, including our investment portfolio. The evolving situation causes us to view liquidity and capital strength as an imperative. When the crisis suddenly took hold on capital markets in mid-March and not knowing what could come next, we thought it was prudent to augment our already strong current liquidity with a $1.3 billion partial drawdown of our revolving credit facility. We did this solely as a precautionary measure given the significant uncertainty at the time, about the near-term impacts of COVID-19. I will provide an update on our capital management plans and liquidity position later in these remarks after I review our first quarter results. So turning to the first quarter. AIG reported adjusted after-tax operating earnings of $0.11 per diluted share compared to $1.58 per share in the first quarter of 2019. Contained within this result is the continued improvement of General Insurance with a 95.5% accident year 2020 ex-CAT combined ratio as Peter noted. First quarter results reflect direct and indirect impacts related to COVID-19, including the market impact on net investment income and book value, with a lesser impact on core operations APTI. Peter discussed, the General Insurance COVID reserve reflects our best estimate, the losses occurring through March 31. The first quarter, adjusted book value per share increased 2.8% and adjusted tangible book value per share increased 3.2%, both since year-end. It's also notable that AIG's adjusted tangible book value per share increased nearly 11% since March 31, one year ago, which we believe is a better measurement of the improvement in AIG's core operating performance over the last year. Book value and tangible book value per share, both of which include changes in AOCI and the DTA, were virtually flat year-over-year, even with the significant AOCI change we saw in the first quarter of this year. In the first quarter, on an adjusted pre-tax income basis, net investment income, or NII, was $2.7 billion, down approximately $1 billion from the down approximately first quarter of 2019. Recall that the first quarter of 2019 included significant gains following the downturn that occurred in the fourth quarter of 2018 as this year's first quarter experienced significant losses due to the COVID-19 volatility in March, resulting in a distorted quarter-over-quarter comparison. I want to spend some time on our global investment portfolio. Because in the current environment, I think it's important to understand its composition. Several reports have been published that use incorrect assumptions and information about our portfolio. In many cases, our consolidated global portfolio has been compared to U.S. Life or P&C peers or the industry generally, without taking into account our unique position as a global composite or multi-line insurer. In addition, some believe our portfolio has above-average inherent risk, which is simply not the case. Instead, we believe our portfolio is below average in terms of risk and we'll get into some of that. In addition, certain accounting elections AIG took in prior years relating to specific securities have created above the line accounting volatility, which has led to some confusion, but this volatility does not impact AIG on a total return basis. To address these complexities and the many questions and comments we have received, we've provided much more disclosure regarding our portfolio, including the General Insurance, Life and Retirement and Legacy portfolio composition. On pages 46 through 65 in our financial supplement, there you will find a significant expansion of our disclosure beyond segment and into credit quality distribution and asset or industry characteristics. As Brian mentioned, Doug Dachille, our Chief Investment Officer, can help address follow-up questions during Q&A, but I'll give some high-level comments now. At March 31st, AIG had a $332 billion investable asset portfolio. This portfolio is about 73% fixed income available for sale securities, which represents 75% of General Insurance's portfolio and 74% of Life and Retirement. In addition, roughly 14% of the portfolio is invested in mortgage and other loans, 6% in short-term investments, 2.5% in real estate investment, less than 2% in private equity, approximately 1.5% is in fair value option fixed income security or FVO securities and about 0.7% is in hedge funds. It's important to recognize though that roughly 80% of the FVO fixed income portfolio, which historically has had higher volatility than are available to sales fixed maturity securities is held in legacy. Notably, the FVO portfolio makes up only 1.4% of General Insurance's portfolio and 0.3% of Life and Retirement. Our historical FVO accounting election mostly on legacy non-agency RMBS that were previously credit impaired cannot be changed or be changed or modified and move mark-to-market volatility above the line into our income statement within net investment income. For available for sale securities, such volatility would be below the line in AOCI. As a result, this FVO accounting treatment puts more volatility into our income statement by NII with less relative volatility in AOCI, which is where one would ordinarily expect to see the volatility. Financial statement geography is important to note when examining AIG's NII, but it is irrelevant when you look at total return, which is how our investment function manages our portfolio. Over the last four-plus years, and Doug can address this in more detail, AIG has seen significant de-risking of its investment portfolio with material reductions in hedge funds, life settlement, CDOs, and FVO securities, totaling approximately $32 billion, which is a 60% drop in these asset classes since year end 2015. Additionally, AIG's portfolio has only a very small direct equity exposure, representing just 0.2% of the portfolio. The volatility in the equity markets has a minimal impact on our investment income and even that is below the line. On page 63 of the financial supplement, you will also see a significant $9 billion plus credit quality difference and below investment-grade securities between the rating agency view and the NAIC designation view. Most of this is non-agency RMBS on an FVO basis, which we have had evaluated and rated NAIC 1 by the securities valuation office of the NAIC. This is the highest rating category, which is important because these assets strengthen subsidiary RBC levels and can sustain RBC levels even if they fall one notch, because they still will be investment grade. However, rating agencies have not re-rated these securities with current information, so from their perspective, the securities still retains legacy below investment-grade status. When examining our $144 billion of corporate debt, which is summarized on page 56 of the financial supplement and expanded beginning on page 59, note that nearly $130 million is investment grade. And of this total, 15% is rated AA or AAA, 34% is A-rated and 51% is BBB-rated. Compared to the overall investment-grade market, we have a superior distribution of such asset by rating. Similarly, when viewing the entire corporate debt portfolio, 10% is below investment grade, which is much lower than the market average of 48%. I wanted to point this out because given the magnitude of AIG's investment portfolio; some may assume that our portfolio mirrors the industry average, which is not the case. With respect to CECL credit impacts in the first quarter, which are included in realized gains and losses and not NII, we recognized approximately $236 million of credit losses. This stems from about $198 million in fixed income securities and $38 million in loans. Now turning to the operating segment. As Peter and Kevin discuss their financial results in detail, I will just add a few remarks that augment their comments. General Insurance, I'd point out that the $419 million of total CAT reserves for the quarter represents 6.9 loss ratio points with $272 million or 4.5 loss ratio points being attributed to COVID-19 and $147 million or 2.4 loss ratio related to other CAT events, the largest of which was the tornado storm system that hit Nashville in early March. Excluding COVID-19, General Insurance generated $185 million of underwriting income, which includes the non-COVID catalog. Prior year development was minimal in the first quarter with $60 million of net favorable development, $53 million of which emanated from the amortization of the ADC deferred gain. On a pre-ADC basis, there was a net $1 million of favorable development, representing $30 million of unfavorable in North America, mostly from shorter deadlines, largely offset by favorable $31 million from international across many product lines. Lastly, as Peter discussed, Syndicate 2019 will favorably alter AIG's risk profile as concentration risk is distributed across an innovative structure and set of capital providers. We anticipate that in the second quarter and for the balance of the 2020 year, TDS premiums will increase over original expectations, and therefore, net premiums will correspondingly reduce. We project that second quarter net written premium in high net worth will be down approximately $650 million from original expectations and that net earned premiums for the 2020 year were reduced by approximately $675 million as a result. Beginning in 2021, however, the catastrophe cover costs will decrease for AIG since the high net worth exposure subject to the CAT program will be a fraction of what it is today. So for 2020, underwriting income for the high net worth unit, we anticipate approximately the same underwriting result pre and post 2019 and then to become accretive thereafter. Turning to Life and Retirement, I would just add that institutional markets benefited from approximately $700 million pension risk transfer premium in the quarter, albeit down a bit from -- corresponding quarter of last year. Legacy, a $368 million adjusted pretax loss in the first quarter was due to a reduction in NII driven by capital markets volatility we saw in March, which abated, as mentioned, in April. As a reminder, we signed a definitive agreement to sell Fortitude last year with the economic set as of December 31, 2018, which means that all net income subsequent to year-end 2018, up through closing will be included in the gain or sale or loss on sale to be recognized upon the closing of the transaction. We continue on course towards a midyear closing subject to regulatory approval and it is noteworthy that Fortitude also has benefited from strategic hedging transactions that performed as expected, and in fact, health capital ratios remain virtually unchanged since early 2019. Next, moving to other operations, and as I discussed on last quarter's earnings call, you will see on pages 37 to 39 of the financial supplement, a revised and simplified presentation that helps identify key drivers of APTI. Our previous disclosures on this segment could be difficult to understand and volatile, in part due to the gross-up of income and expense for internal items, mostly investment services, which increased other income and GOE. We simplified that and also provided APTI by activity, which should help. As for magnitude, this quarter's $280 million of other operations GOE included the COVID-19 employee grants totaling $30 million that Brian referenced, and remote access IT costs of $3 million. Excluding that, other operations GOE would have only been $247 million. Turning to tax, we had a core 23% tax rate on adjusted pretax income for the first quarter, higher than recent prior quarters due to additional items dominated by a $37 million impact, reflecting share-based compensation differences, plus by grant date versus delivery date of value resulting from spot price declines during the first quarter. Turning to liquidity and capital resources, we believe that liquidity and operating subsidiary capital strength are paramount priority in this uncertain economic environment. At year-end 2019, AIG had $7.5 billion of liquidity at the parent and the RBC fleet ratios for General Insurance's US pool finished 2019 at 419% and for Life and Retirement at 402%. During the first quarter, we repurchased $500 million of our stock and closed $350 million of most advanced. Share repurchases helped to offset share count dilution stemming from equity compensation and the promotion bond call aided our debt leverage ratio. As of March 31, AIG had a similar $7.5 billion of current liquidity, including the $1.3 billion draw from our revolver that I referenced earlier in my remarks as well as strong liquidity in both General Insurance and Life and Retirement. Before turning to AIG 200, there were two below the line items in the first quarter that I would like to highlight: First, the success of our hedging program; and the second would be Blackboard. Turning first to our hedging program, roughly $3.6 billion of variable annuity fair value benefits were reflected during the first quarter within the realized games line as a direct result of successful interest rate and equity risk hedging within the Life and Retirement and legacy segment that clearly preserve book value. It should be noted though that on a GAAP basis, this gain was aided by the NPA, or non-performance adjustment, impact, which is highly volatile and reversible depending upon rates for ebbs and equity markets. Secondly, at the end of March, AIG made a strategic decision to discontinue Blackboard, our internal insured tech startup in light of current market condition. Blackboard's GOE which was $16 million in the quarter, has been historically recorded in other operations, but that we'll cease starting with the second quarter of this year. Associated with this business decision, we recorded an approximate $165 million after-tax charge, not included in APTI. Pivoting to AIG 200, as Peter noted, we continue to refine our operational plans in response to COVID-19. We still expect that this strategic three-year transformation will result in $1.3 billion in costs to achieve an annualized $1 billion of run rate GOE savings by year-end 2022. Let me first just provide a quick review and then I'll give you the AIG 200 three-year walk as well as its impact on the first quarter of 2020. From a reporting perspective, all costs to achieve, aside from $400 million of pre-tax spending that will be capitalized will be recorded below the line, not in APTI, as restructuring and other costs, which will make it straightforward to track. These below the line charges mostly involve employee-related costs, dedicated internal resources and associated professional services. Capitalized costs of $400 million before tax, represent mostly investments in systems, development, interfaces, data conversions and associated integrated workflow processes, which have an impact on cash, but are not expensed immediately in the income statement. Instead, each investment will be capitalized and then amortized through GOE based on its useful life according to accounting principles. Hence, by year-end 2022, we would expect that the amortization portion of the $400 million will be included in our annual expense run rate, where our goal is a total annual run rate savings of $1 billion, including the amortization of these capitalized investments. So let's turn towards what this means for the next three years, acknowledging that in this uncertain world, timing of plans can somewhat change. Under Peter's leadership, we are governing AIG 200 via structured checkpoints and tollgate that control cost, confirm scope and reconfirm scope and drive key milestone achievements. Overall, we expect a total 'cash cost' at the holding company of $1.3 billion. As shown on page eight of the financial results slide, $350 million of this is expected in 2020, although still being reviewed due to COVID-19 impact; $500 million in 2021 and $450 million in 2022. Of these amounts, approximately $100 million in 2020 will be capitalized with later amortization into GOE. The combination of these two result in a below the line projected charge of $250 million before tax. Then in 2021, about $200 million will be capitalized, with a below the line charge of roughly $300 million. And finally, about $100 million will be capitalized to 2022, with a below the line charge of $350 million. Based on our current useful life schedule for depreciation and assumptions about when we expect the $400 million in capitalized assets to be placed into service, calendar year depreciation included in GOE should be zero in 2020, as the project will still be in development; rising in 2021 to be between $10 million to $15 million before tax; and $25 million to $30 million in 2022. Based on projected completion by year-end 2022, the unamortized balance of about $350 million will be amortized at about a seven-year average life, with $50 million per year in 2023 through 2027 and then trailing off a bit from there. Finally, in the first quarter of 2020, we had a $90 million restructuring charge below the line, of which about $23 million related to AIG 200 and the balance from other actions. Going forward, restructuring charges will primarily reflect AIG 200 costs. Relative to expense savings, this quarter had $10 million of GOE savings, which will translate to $60 million on an annualized run rate basis, which is part of the $300 million plan run rate benefit by year-end 2020. Now shifting to capital management and looking ahead, in light of the significant uncertainty on many fronts due to COVID-19, we do not plan to do additional share repurchases or debt reduction actions for the foreseeable future, but we will reassess this as COVID-19 impact stabilize. However, given improved stability in and access to the capital markets since March, we are reevaluating our debt and capital plan. While reducing debt leverage to 25% or below is a minimum term goal, in the near term, our priority is maintaining strong operating capitalization, financial flexibility and liquidity. As a result, we are considering options to generate additional near-term liquidity in light of ongoing economic volatility as well as upcoming debt maturities in 2020 and in the medium term. Although spreads have widened since year-end, all-in coupons are attractive. Given the significant uncertainty around the duration and depth of global recession created by COVID-19, as well as taking into account our global operating footprint and different regulatory capital regimes, we think it is prudent to evaluate debt capital market opportunities in the near term rather than waiting until later in the year, which was our original plan prior to COVID-19. Lastly, and reflecting back, the first quarter benefited in the first two months from strong momentum in GI pricing, investment return and operating initiatives. In March, COVID-19 spread incredibly fast and dramatically changed everyone's everyday world. AIG entered this crisis from a position of strength while it has certainly impacted us and caused us to recalibrate some of our plans. AIG is more resilient than it has ever been with strong leadership and greater portfolio and risk management across the organization. We are confident in our ability to weather this storm and look forward to being able to engage with you again in person, hopefully, in the near term. With that, I will turn it back to Brian.
Brian Duperreault: Thanks, Mark. Abby, I think we're ready for the Q&A portion. So please get us started and let us move first.
Operator: Thank you.  And we will take our first question from Elyse Greenspan with Wells Fargo. Wells Fargo.
Elyse Greenspan: Thanks. Good morning. My first question, in your prepared remarks, you guys mentioned that a small fraction of your commercial property policies contain coverage for infectious diseases and that those policies do have small sub-units. I'm just trying to get a sense of those policies where you think you could see losses have you set up reserves within your COVID losses in the first quarter?
Brian Duperreault: Okay. Elyse, I think that's a question for Peter. Peter, would you take that, please?
Peter Zaffino: Yeah. Sure, Brian. Hi, Elyse, let me just give you a little bit more detail. Yes, we did go through it very thoroughly in the first quarter, as I outlined our process that we did bottom-up and top-down but when you look at the size and scope of our global portfolio, the nature of our clients in terms of the segmentation, we do have commercial property policy that have some manuscript warnings. As I said in my opening remarks, the overwhelming majority of the standard commercial property policies do contain clear exclusions for viruses, and it's fairly standard in the industry. These policies also require that there's direct physical loss or damage that impact the insurance business operations. As to these policies, COVID is not covered. So that's point one. There are limited instances where we do write affirmative coverage for communicable diseases. But even in those cases, it's only on a supplemented basis, and in pursuant, we have very strict underwriting guidelines that often result in coverage for only specified diseases. And in an event that there's a requirement that there would also be a government closure caused by physical presence of the disease itself. So again, it's fairly clear. And just to give you some context in terms of what I'm talking about is that 100% of our sub-limits aggregate to well less than 1% of our total limits in our commercial property policy. So it's a very small portion of the overall property exposure. And I would just note that I mentioned in my prepared remarks, we have really comprehensive reinsurance, whether it's on a property per risk basis, we have low attachment points on a per occurrence basis that's regional, and we also have global aggregates that attach to reduced volatility on a frequency severity basis. So sorry for the long answer, but I think it's important to get into the detail.
Brian Duperreault: Thank you, Peter. Next question 
Operator: We will take our next question from Tom Gallagher with Evercore.
Tom Gallagher: Good morning. Mark, you mentioned your plan on running with higher debt for the time being, which I think that makes sense given the current environment. Have you gotten any sense from the rating agencies on their reaction to the higher leverage for now? And then just a follow-up question on the investment portfolio. Appreciate all the disclosure there. The $18 billion of other invested assets, it looks like $6.7 billion of that is in legacy. Would you expect most of that to be transferred with the Fortitude resale? And then sorry for the string here. But then just one related question, the $8.5 billion of real estate alternative investments, should we expect there to be any kind of impairment on that in 2Q, or is there some buffer with historical cost accounting there?
Brian Duperreault: Okay, Tom. Listen, why don't we have Mark, you wanted to talk about the debt. And then I'm going to ask Doug to take over on the investment portfolio question. So Mark, why don't you go first?
Mark Lyons: Thank you, Brian, and I will do that as well. With regards to debt, yes, we've spoken to the rating agencies. In fact, we were in conversation with them on the revolver drawdown, as a matter of fact, and had very good strong and supportive conversations with them. And in the future, we may contemplate, of course, we be involve in discussions with them as well. With that, I will turn it over to Doug to talk about this to investment questions.
Doug Dachille: Thank you, Mark and good morning. Well, I would refer you to page 49 of the financial supplement, which basically goes through the legacy segment and the assets that are held in that segment in pretty robust detail. And as you know, in addition, there's approximately $40 billion of assets, which we also disclosed in our financials, which are going to be part of the sale related to Fortitude. The portions that we’ll be retaining, there will be some real estate investments that we'll be retaining that are part of legacy. There will also be some fair value option bonds that will be retained in legacy that were part of the old financial products direct investment book. So those will not be part of the sale transaction. But the material amount of the assets will be, as you know – over $40 billion will be separating as part of the sale of Fortitude. With respect of the real estate, you -- as you know, we only experienced a rapid acceleration in the month of March with respect to the development and emergence of the COVID situation. So we're still in the midst of analyzing the impact. And I think it's very early to determine what the impact will be on our real estate portfolio. But it should be noted that our real estate portfolio is diverse. It includes both domestic and international exposures. So the impact we'll learn more as things go on. I think where we're learning the most about our real estate is obviously on the commercial mortgage loan side. So that's where we're getting some real insight into what's going on in the real estate market. And those teams, the commercial mortgage loan team work very, very closely with the real estate equity team at AIG. And all of those investments are managed directly. So we have great level sight – of line of sight to what's going on in that market, but it's still really early to determine what's going to happen.
Brian Duperreault: Okay, thanks Doug. So, why don’t we get the next question then.
Operator: We will take our next question from Yaron Kinar with Goldman Sachs.
Yaron Kinar: Hi, good morning everybody and thanks for the very helpful opening comments. I just want to start with one question on the removal of the 2021 exit rate return guidance. Just want to make sure I understand what it does and what it does not mean? Does it mean from your perspective that you could see the COVID impact linger or continue well into 2021?
Doug Dachille: Well, let me take that. Who knows? I mean, you don't know whether COVID will reemerge, if it does go down an impact in 2020. It's really a question of how much predictability is there to quarterly earnings. And it's difficult to predict quarters. So if you can't predict the quarter, I don't want to try to predict a year or several years.  I think it's important to note, though, that the underlying power of the company remains. We're very, very strong in the GI. GI has continued to show improvement. Good work that has been done over the last 3 years, what Peter and his team have continued on. So the returns that we were talking about, I believe, if you – certainly, if you pick the COVID out for a second, are going to continue to improve. And so that trajectory we're on is, we're still on. Now you have a COVID event, and I think the COVID event certainly would impact L&R on a short-term basis. But again, we think the long-term power of the company is there. So COVID itself, it will be large. I told you that I believe it will be the largest event in the insurance industry, but it is -- it's an inflection point. And that effect that we'll see -- we've already been in a market on the GI side, General Insurance, P&C side that was turning. It was improving. And the rates in terms and conditions were improving for the risk taker. This COVID is going to prove to be an inflection point. So, companies with strong balance sheet, we have one; companies with strong management, we have one; companies that has been well risk managed, and we've done that now, they're going to be on the right side of that. And so we believe we can handle anything that comes with COVID and we feel very strong. But predicting quarter-to-quarter is just impossible. So, I hope that helps.
Yaron Kinar: Yes, it does.
Brian Duperreault: Next question.
Yaron Kinar: So, my follow-up question on that is when you talk about COVID being the largest catastrophe event in the industry's history. Can you maybe talk about what P&C lines in particular you would foresee having very large losses here? And maybe also the proportion of losses that you'd expect coming from L&R, maybe not directly COVID-related, but from capital markets activity?
Brian Duperreault: Well, I'm going to have Peter talk about what we see in the P&C side, and then I'll let Kevin talk about L&R. So, Peter, do you want to talk about that first?
Peter Zaffino: Sure. Thank you, Brian. We mentioned quite a few lines when we were referring to the first quarter, whether it's travel, M&A, A&H, some other lines to think about that could have activity, workers' compensation. We don't know about D&O liability. We have been watching it very carefully and making certain that we're looking at any line that we think could have an impact. But what I can tell you to add to Brian's comments before, is that we have a very thorough process and we'll be consistent all the way through. We know the CAT is still ongoing, which is a very rare. So, as things emerge and develop, we will adapt to that. And we're looking at this across every global geography where we think there's impact and multiple lines of business. But because the CAT is still going, we even have two months left in the quarter. It's hard to see what transpire in the future. But as I said, we have a great process, and we will keep everybody have a great process, and we will keep everybody updated on lines of business as they emerge.
Brian Duperreault: Kevin, on L&R?
Kevin Hogan: Yes. Thanks. So, I'll address it really in 3 pieces, mortalities of the markets and then maybe just a reminder around pricing. So, our reported mortality in the first quarter was below pricing, which continues the trend that we've had for the last two-plus years. But later in the period, what we did notice is that there were some delays in reporting, generally related the issuance of certain documentations. So, we put up the modest IBNR really for just running reporting. As we look ahead, we do expect that there will be additional mortality in the second and the third quarter, depending upon how circumstances and behaviors evolve. So, where does that leave us? We expect some expect some adverse mortality overall for 2020, but we don't expect to see significant impacts to the balance sheet based on what we know, and there could be some offsetting factors. In terms of the market effects, look, there's two things. I mean, when equity markets move, particularly when they go down, that ultimately reduces our future expected fee income, particularly in the annuities portfolio, which we have to reflect immediately and back. The reality is, is that the reduced reserve overall actually emerges as additional profits in the future. It also serves to increase our SOP all 3 1 reserves, and when changes in credit spreads, we see the immediate impact on fair value options. So those two short-term market effects are reversible. And that leads to the third thing, which is pricing and how do we feel about current pricing. And certainly, treasury rates are at all-time lows, but our ability to price product is to pace -- is based not only on where base rates are. But also where credit spreads, what is the shape of the yield curve and where investor expectations and appetites are. And so based on the power environment, we're still able to price the long-term expectations that we have. Certainly, there's disruptions in the sales environment, but it's difficult to anticipate what the future on that is going to be and how it resolves. So those are the three perspectives I have on the long-term earnings potential of the Life and Retirement environment.
Brian Duperreault: And one thing I'd just like to add there, Yaron, Peter's comments about certain lines of business, he mentioned workers' comp. I think it's important to remember that AIG has de-risked that workers' compensation business significantly, probably over the last 7, 8 years. And where AIG finds itself now is mostly in loss sensitive related programs, which have average deductibles north of $1 million. So when you think about debt in the work comp area, that's statutorily determined by state, that's going to be underneath a deductible, standard medical and temporary, all that falls away. It has to be a major permanent parcel to really penetrate it. So I think the book is well positioned given what we're talking about here.
Kevin Hogan: Yes. And just one other piece on the comp, and Peter mentioned this earlier, but, yes, there are COVID claims coming in, but I think you have to recognize that there's been a decline in a number of claims coming in otherwise. So it remains to be seen what the net effect of COVID has on the worker concept. So that's something to keep an eye on. With that, Abby, let’s go to the next question.
Operator: We will take our next question from Michael Phillips with Morgan Stanley.
Michael Phillips: Thank you. Good morning. I want to touch on comments on expected, continued underwriting core profitability in General Insurance and maybe how you think about the near-term impact of exposure drops given your economy and how that might affect the profitability improvement plan for the remainder of this year?
Kevin Hogan: Okay. Michael, well, that's Peter. So Peter, why don't you do that?
Peter Zaffino: Okay. Thank you for the question. We certainly are paying very close attention to lines of business that would be affected by the economic headwinds that are generated from COVID-19. I mentioned some of them in the prior question in areas where we're watching for loss, but I would think that there's going to be a meaningful falloff of travel in the second quarter. M&A could be some fall off in aerospace, marine and energy, and we mentioned workers' compensation. Having said all that is that you got to remember the segmentation and demographic of our portfolio, I mean, over 75% of our businesses on some form of either deductible SIR or funded captive. And so we don't have a direct correlation, even though it is rated off of a payroll, sales, auto is done on an excess basis. And therefore, we do not think we will have as much headwind in terms of premium reduction. There will be some, but it will be more modest because it's not a direct ratable exposure that generates the premium. We have different factors in terms of how we adjust excess premium. So we just don't think it's going to be as pronounced. Brian mentioned on workers' compensation, the decrease in frequency. It's not a trend yet, but it's an observation that, while COVID losses are increasing, we're seeing a commensurate drop in where our clients are retaining losses that those are dropping. So as we look at repositioning our portfolio, where we attach on an excess basis and the commensurate premium as I said, there's going to be some lines of business that will affect. We there's opportunities for other areas of growth. As we have repositioned the portfolio, we like where we are, and think that the leadership position that AIG can demonstrate in the marketplace will give us also some select opportunities for growth.
Peter Zaffino: Thanks. Michael, anything else?
Michael Phillips: No. That’s it. Thank you, Peter. Appreciate it.
Peter Zaffino: Okay. Thanks, Michael, Abby, next question.
Operator: We will take our next question from Paul Newsome with Piper Sandler.
Paul Newsome: Good morning. Thanks for the call everyone. I'm a little concerned that the loss with the – the big CAT loss that you have from Totalbank seems more of a liability loss than a property loss. Could you talk about how the reinsurance could protect you in liability-type catastrophe versus property. I think we all feel is excess loss properties, but I can't recall liability to cash is simple size. So I don't know with regard to in terms of coverage ?
Brian Duperreault: Okay. So Paul, you want us to talk about in a COVID versus our reinsurance program?
Paul Newsome: Yes. If COVID was a liability loss instead of a property loss?
Brian Duperreault: Yes. Okay. Well, Peter, I guess, that's you again.
Peter Zaffino: Thanks, Brian and Paul. So I outlined our property program and said that we had reduced volatility significantly. On the liability side, I think we've done actually even more. We used to retain significant limits within AIG and so we've been building a program over time that significantly reduce the net limits that we put out as well as the gross limits. And also we did that on an excess of loss basis and also on a quota share. So on a general liability policy, as an example, we would have less than probably, depending on the limit, we have a 50% plus quota share on our first limit retention that we have 100% reinsurance above $25 million. So we have – if you issue a policy, a significant sized policy, the multi have net is between $10 million and $12 million. So we actually have significant protection on the quota share as well as the excess of loss.
Brian Duperreault: So Paul, let me just jump in. Look, our reinsurance is good and solid, and Peter has done a tremendous job along with his team to put that together. Our first-line of defense is the way we manage our portfolio to start with. And so you can't rely on reinsurance to make a portfolio better than it is.  o we've done a tremendous amount of work, risk selection, limits management, attachment points and pricing along all the lines of business property and casualty and that's where we feel very confident about our situation vis-à-vis the impact that COVID will – as those impacts unfold. So I just want to add that. So Paul, did you have another – anything else?
Paul Newsome: No. That’s it for me. Thanks for the answer and thank you very much.
Brian Duperreault: Okay. You’re welcome, Paul. Thank you. Next question, Abby?
Operator: Our next question is from Ryan Tunis with Autonomous Research.
Ryan Tunis: Hey, thanks. Good morning. I just wanted to confirm some of that, I guess, Peter said earlier in the Q&A. Yes. There's affirmative BI coverage for 1% of total property limit. But sounds like that could be somewhat of a big notional number that you might get, roughly?
Brian Duperreault: Well, I said one. Peter, go ahead.
Kevin Hogan: Peter, go ahead.
Peter Zaffino: Sorry, Ryan. What I said was, not that that was a permanent coverage and those sublimits would trigger coverage. What I said is that the limits that we provided on the affirmative, which have, again, a bunch of triggers that I outlined in my previous answer that we have well less than 1% of our total limits when you compare that to our property gross limits. So, again, it's well less than 1%. And I'm not suggesting that we confirm that there is coverage or that we are adjudicating claims on that amount. It's just that, that's what we have for limits, and then it goes case-by-case, insured-by-insured in terms of what the losses.
Brian Duperreault: Yes. Ryan, let me just add something here. And that is, Peter talked about that process of evaluating the losses occurring in the first quarter. I've been in this business a long time, 40-plus years. And I've seen a lot of things come and go. I've seen difficulties in trying to assess loss. I have to tell you the process that they – that we went through, that they went through, we went through, it's as good as anything I've ever seen. They have gone through every bit of the portfolio. They looked at everything where there was a potential and evaluated whether there would be reason to post the reserve, if it was, it was done. So we have posted the reserve that we believe are appropriate, albeit conservative for that, everything that happened in the first quarter. I just want to make sure that everybody understands that, everything that happened there.
Ryan Tunis: Yes, yes. So could you just talk a little bit about how you're seeing business interruption, losses might respond within the Validus book? And also, just the $272 million net loss number, what does that look like on a growth basis of reinsurance? Thanks.
Brian Duperreault: Okay. Well, Peter, that's you again.
Peter Zaffino: Okay. With Validus Re, we've gone seat-by-seat and have taken a look at our gross net exposures and put up what we thought was the best estimate based on, again, the same process that we outlined for the core of AIG in the first quarter. In terms of the net growth, I mean, look, there's some reinsurance. I'm not going to go into great detail in terms of what the net is versus the growth is, still an evolving loss as we outlined with meaningful IBNR. But again, I've outlined what I thought were the reinsurance structures that could apply in the event that the loss were to grow over time.
Brian Duperreault: Okay. Thanks, Ryan. Abby, let’s go to the next question.
Operator: We will take our next question from Meyer Shields with KBW.
Meyer Shields: Thanks. This is soft of a related question, but it seems to be top of mind for a lot of investors. How should we think about commercial property where there is no little bit of coverage, but no virus exclusion, given some apparent court decision saying that non circle damage would qualify?
Brian Duperreault: Well, it's a technical question, Peter, can you do this?
Peter Zaffino: Hey Meyer. It's a really hard question to answer because it's, hypothetical. The only thing I can really do is comment on the policies that we have and where we think, again, I outlined demographics of it and think that the exclusions that we have and where we granted affirmative coverage, it's very specific. And so, it's hard to answer that because I don't think it really applies to our portfolio.
Meyer Shields: Okay. That's fair, unrelated question. I guess, I would have expected maybe better results in international personal lines, assuming, an international shelter in place order. Am I missing something there?
Brian Duperreault: International personal lines, Peter?
Peter Zaffino: Yeah. What, what happened in international personal lines? It's not an anomaly, but we basically had a runoff program, that impacted we still had earned premium, so it was put into runoff in 2018 that earned premium in 2019 and as you've been doing the re underwriting of the portfolio, again not as much as we did on the commercial. We've just lost a little bit of premium. And so, the ratios, look like they perhaps are not going in the right direction, but the absolute performance is very strong. We like the personal book very much and think that there's some real discrete opportunities for growth, particularly in A&H and an areas across, all of international an accident held them new digital platform we're putting in. So I wouldn't read into that in terms of a trend is just, the impact of a runoff of business. Meyer.
Meyer Shields: Okay. Thanks.
Brian Duperreault: Thanks Peter. Thanks Meyer. Let's go to the next question. I think 
Operator: Our next question is from Brian Meredith with UBS.
Brian Meredith: Yeah, thanks. So, Brian, I'll have this one for you. We're going to Peter on it. Given the impact you've seen of COVID-19 on the general church business as well as the life insurance businesses, I'm wondering if you're at all rethinking the strategic rationale of actually having both the lights in the TMT operation in the same company?
Peter Zaffino: Well, Brian, I guess, you know, my job is to continually always think about, the structure that we have. Does it make sense? Would we be better in a different structure? And so that's, that thinking continues, I think at this point. We're comfortable with where we are, but I -- that's my job is to continue to do that. So we'll continue to keep looking at that. There were reasons why these two belong together and those two are still there. But we, I'll always think about that, but there is nothing that I would talk about. Right now I think we're comfortable with it.
Brian Duperreault: Any other question, Brian? 
Brian Meredith: Yeah, this is just one of the quick one here. I'm just thinking about it. So given us the largest cash loss coverage, each inch industry probably ever, if I kind of think back, AIG with -- had well over $2 billion of losses, are we talking about it potential last year? There's going to be well north of a $1 billion for you guys. Ultimately, at the end of the day, if this is truly the largest cash we lost ever?
Peter Zaffino: Well, I look at it, we're not the company we were Brian. We're not the company then, there's been a complete, change and we look at the risk, the de-risking that we've done, the limits management, the improved reinsurance profiles all lead us -- put us in a position where we are much stronger and able to withstand an event. And so I point out that this is the largest event because I want people to understand that it's creating an inflection point in the industry. But there are going to be some who do well in this process and some that won't. We're in -- we believe we will do well through this event and that we're going to emerge stronger and more in demand than we were before.
Q – Brian Meredith: Makes sense. Thank you.
Brian Duperreault: You are welcome. Abby, next question.
Operator: We will take our next question from Andrew Kligerman with Credit Suisse.
Andrew Kligerman: Hey, good morning. Thank you for taking my question. On the life insurance side, I'm wondering if you could give a bit more of sensitivity in terms of the COVID-19 exposure, what you might expect during the course of the year. And then with regard to variable annuity hedging that was very strong. What was your hedging expensive numbers for the variable annuity? And lastly, just in terms of the press release and what you said on the call, you talked about maintaining the return on equity profile for the life business, what might that profile be? I mean could you kind of drill in where you think a good range for all the Life and Retirement could be?
Brian Duperreault: Okay, Andrew, thanks. So I'm going to have Kevin, obviously, talk about the sensitivity around COVID-19 and the hedging program. And the hedging program, I think, Kevin, why don't you do the piece about the variable annuity, but I would like Doug to jump in on the -- what happened with Fortitude as well. So Kevin, why don't you start?
Kevin Hogan: Yes. Thanks, Brian. Thanks, Andrew. So look, I guess I'll address that from a couple of perspectives. I covered the market impacts, the short-term market impacts. So I'm not sure I need to go back to that. But I mean, clearly, when equity markets move, it impacts the SOP in the DAC and when the fair values move, that impacts the fair value options. Those will never -- I'm sorry, Andrew?
Andrew Kligerman: Yes. I apologize. I needed to be clear, I mean quickly the mortality. What would series…
Kevin Hogan: Mortality. So it’s very straightforward that in the first quarter, we saw mortality better than pricing. We believe there are delays in the reporting of those claims. As we look at second quarter and third quarter based on where the current estimates are, this is well within our first level modeled stress scenario. We don't expect any significant impact on the balance sheet. And there's also -- it's difficult to project how people are going to behave, how people are going to respond. So that's about the best that we can do. It's just based on where we believe our market presence and geographical presence are versus the current expected losses. In terms of hedging, what I would say is, first of all, you can only hedge what you have. And so the liability profile that we have is a big part of the success of our hedging program because we have primarily de-risked benefits, sold well after the VA arms race of the mid-2000s. And so that includes our feature of requiring fixed income allocation, volatility control funds, et cetera. We've hedged all hedgeable market risks. We've left an open position relative to credit spread, because we believe that that is a natural hedge against our general account portfolio. Over time, our hedge effectiveness is around 90%, and it's continued to perform almost exactly as we expected in the various market dynamics, resulting in I think the results, the good results were reported for the quarter. But I'm going to pass on to Doug because another feature of our hedging success in the first quarter was also in the Fortitude portfolio.
Doug Dachille: All right. Thank you, Kevin. So I just wanted to comment on the fact that what you don't really see in the financials is with respect to the legacy segment, you're seeing all the mark-to-market impact particularly of the fair value option securities that are in legacy and to some extent, in Fortitude. What you don't see is the fact that we had established interest rate and credit hedges, which all that P&L and effect goes through realized capital gains and losses. So you don't really see the net effect. But the best way to look at how that – how the entity performed and how those hedges are formed and how effective they were is as Mark made in his prepared remarks, he said that the regulatory capital ratios for the entity were preserved from over a year ago. So that gives you a sense of how effective our hedging strategy was for things that you're not necessarily seeing when you look at the mark-to-market volatility that is reported in our financial statement in the APTI. So, thank you.
Brian Duperreault: Okay. Thanks, Doug. And Abby, I think we're running a little long, but why don't we take one last question?
Operator: Yes. Our next question will be from Scott Frost with State Street Global Advisors.
Scott Frost: Thank you for taking my question. You said you expect COVID to be the largest single P&C event industry's ever seen. Could you give us some background on what the basis is with this assessment, specifically the length of shutdown you're assuming here? And what are your thoughts on the Willis piece released Friday, and over how many years do you expect claims to develop and be paid? I'm assuming multiyear payment profile, but if I'm wrong, please correct me.
Brian Duperreault: Okay. Well, let me start with that and then Peter can add from it. But in terms -- just in terms of the payments, these particularly business interruption claims are very long in process and payments. So I think we're just I think we just cleaned up the last business interruption from Superstorm Sandy to give you some idea. So anyway, but in terms of the estimate, I mean, we've seen a lot of different estimates, and I think they run the range, but the first thing you have to understand is this is global in nature. This pandemic is affected every corner of the world. It isn't that hard to come up with a reasonable assumption around the effects because we're seeing effects in Europe, we're seeing effects in Japan. We're seeing effects in Latin America, and of course, here in North America. So whether it's the effects of comp that we talked about or it's the business interruption, we've seen travel and event cancellations and on and on and on, it doesn't take much to figure out how this is spread across the globe. The question for us is, what's our position on all those things and we feel very, very comfortable with how we've managed this risk in general and how we're well-positioned for COVID. Peter, do you want to add anything to that?
Peter Zaffino: Not much. The only thing I would just add is what you said. We've seen a lot of very good written documents that have come out. But just because of the ongoing nature of the event and the complexity of the different lines of business, it's the wide range of scale in terms of the low end of the high end is about as wide as you'll see in terms of predicting cash. So, it's very hard to pinpoint anything or the level of accuracy until this evolves over time.
Scott Frost: Well then how can we say that it's going to be the largest event we've ever seen when there's a wide range, I mean, again, you're saying that's going to exceed Katrina? So, on the basis of that, what -- I mean, again, what are we saying? I mean, the world supports a length of shutdown is really the determining factor. They're saying a year its $80 billion. When you say it's greater than Katrina, is that the basis of your statement or can it be less than -- I mean, what I'm trying to get at is, how are you getting to that statement?
Brian Duperreault: Peter?
Peter Zaffino: Yes. I mean -- so looking at -- I mean, let's get off the Willis is that we've done a ground-up analysis based on what we think can be an industry loss with a lot of assumptions, again, let's get off the Willis is that we've done a ground-up analysis based on what we think can be an industry loss with a lot of assumptions, again, length of time, severity, geographic spread and have done it across multiple lines of business. And length of time, severity, geographic spread and have done it across multiple lines of business. And again, we're not in the business of putting out ranges as to what is going to happen to the industry because we look at our own portfolio. But when we look at market share of different lines of business, we came up with an estimate that exceeded Katrina. And I think that was the basis of Brian's statement.
Scott Frost: Okay. It would be helpful if you told us some of the assumptions behind that, so I'm driving that. Thank you. I appreciate the comments.
Brian Duperreault: Well, thank you very much. Like I said, we've gone past our time. So, I want to wrap this up. And so first of all, I want to thank everyone again for joining us today. And I also want to thank our clients and distribution partners, our shareholders, other stakeholders. We're all in this together and we will get through this challenging time together. Most importantly, finally, I want to thank our colleagues around the world. Guys you've exceeded my expectations and I could not be prouder of what we've accomplished together over the last few months. So, everyone, please be safe and be healthy and thank you again. Goodbye.
Operator: Ladies and gentlemen, this concludes today's call and we thank you for your participation. You may now disconnect.